Operator: Good afternoon, ladies and gentlemen, welcome to the Sylvania Platinum Limited Interim Results Investor Presentation. Throughout this recorded presentation, investors will be in listen-only mode. Questions are encouraged, they can be submitted at any time via the Q&A tab that's just situated on the right-hand corner of your screen. Please just simply type in your questions and press send. The company may not be in a position to answer every question it receives through the meeting itself. However, the company can review all questions submitted today and will publish those responses where it is appropriate to do so. Before we begin, as usual, we would just like to submit the following poll. And if you could give that your kind attention, I'm sure the company would be most grateful. And I would now like to hand you over to the executive management team from Sylvania Platinum Limited. Jaco, good afternoon, sir.
Jaco Prinsloo: Good afternoon, Jake, and thank you very much. And also welcome to everybody who's joining us for this interim results presentation. Myself and Lewanne Carminati, our CFO, will be taking you through our results for this past half year. And also, at the end, answer some of the questions that you might have. If I just start and we carry on to the -- for those of you who might not be familiar with Sylvania Platinum, we are a cash generative dividend paying mid-tier mining company that has been in operation for just about 17 years now. And over the years, we have attempted to ensure that we remain a low risk, low cost business. And through continuous focus on safe and profitable production, we made sure that we maintain both maintain and strengthen our operating license in order for us to create sustainable cash generative businesses and which is a key enabler for us to pursue further growth and also to return attractive value to shareholders, which I hope we will able to demonstrate for you during this presentation. In terms of what the business consists of, most of the results we will be discussing now and all the revenue and profits generated is currently coming from the six dump operations that we have in our portfolio. These are operations situated at host mines, treating a combination of chrome tailings, historic chrome tailings, as well as fresh current horizons of tailings from the current mining operations, as well as runoff mine material at our Lannex and Tweefontein operations. At the current status of our operations, we don't derive a chrome revenue from these six operations, but that is changing with the addition of our attractive new Thaba joint venture operation that we're adding, which is situated on the North of the Bushveld Complex. And through this operation, we are now introducing a very attractive diversified revenue stream that we will discuss a bit more about Thaba, as we go over late in the presentation. Besides our cash-generating dump operations, we also have a number of lucrative exploration assets on the Northern Limb of the Bushveld Complex. And although these are in, early-stage exploration and I'll touch on them a bit later, they do offer some attractive optionality in terms of future growth potential for the company. And, full Sprague project to the South is, our most advanced of these assets, and then we have Aurora and Hacra to the North. If we look at just the overview of the results for this, past one and half year, I'm very happy with sustained performance in in a still very challenging market environment. That's not exclusive to Slovenia. But focusing on the factors under our control, we were able to post very attractive, and positive results for the period. I think first of all, from a production point of view, I'm very happy that, the 39,840 ounces we've produced or the 3% improvement on the corresponding period in the previous financial year, but more importantly was also ranking amongst the top three, half year performances for the company to date. And that, together with a slight improvement in the PGM basket price that improved about 6% on the corresponding period, we have managed to get positive financial results. Our net revenue of $47.6 million was a 17% increase, and the group EBITDA of $9 million was a 36% increase on the corresponding period in the previous financial year. And this enabled us to maintain a strong cash position of, and still with no debt or any pipeline financing, which put us in an optimal position to weather a weak price environment and also to pursue all our operational optimizations and growth opportunities while continuing to return value to shareholders. And while I'm talking about value to shareholders, I'm pleased to announce that despite the challenging PGM price environment during the period, and significant capital commitments for the year, particularly related to Thaba and the execution around our tailing’s dams, the board has approved interim dividend for the half year of $0.75 per ordinary share. So, overall, I think this, the declaration of the dividend in combination with the share buybacks we conducted during the period, I think serves as a commitment, of the company to our shareholders that we are committed to returning value wherever possible. If we turn our adjusted operations in particular, I think I've already mentioned that it was one of our best half year performances. And the primary enabler during this period was the 17% higher PGN feed rate we have had. And that is primarily because of improved feed quality, of the material at our host mines at Tweefontein and Mooinooi. Also, the higher-grade third-party material that that we are sourcing and treating at our Eastern operations as well as the new higher grade current rising stream that we have been receiving at Lesedi and, that started to come in since October last year. The PGM feed tons was slightly down on the corresponding period, and the key contributors there is primarily related to Mooinooi, who had slightly lower dump feed tons related to hydro mining challenges over the installation and also related to rain which we since have addressed and it's been resolved. And then also we had quite a significant stop during August last year at Lesedi where we had a strategic 24-day stoppage as part of our optimization strategy to reassess and reposition Lesedi for the treatment of an alternative dump material and to ensure that the plant would be able to accommodate the new currents arriving feed source from the host mine. And then finally, although the recovery was slightly down from the previous corresponding period it is still in line with our expectations and our business plan for the year and primarily related to a blend of feed material. I think finally looking at the Thaba JV progress and we still expecting the Thaba JV to commission and to commence production from about April-May in this year and although there's not a significant contribution in 2025 already because of the ramp-up you can see the green bar at the top of the profiles in '26 and '27 when steady-state production comes in. So, on the back of the robust performance for the first half year and also the other focus areas and trends we're seeing in the operations, we have upped our guidance production guidance for the year in to 75,000 to 78,000 ounces from the year from the 73,000 to 76,000 ounces we had previously and we're confident that that's both a realistic and achievable target. Without going on or discussing too much detail on the specific focus areas, I think it's just important from an operational stability point of view that we have concluded the two-year wage deal during December at both our eastern and western operations, respectively, so which is very positive for us. And then also from a power supply point of view, we have not had any Eskom related load curtailment or load shedding at any other operations since about March 24th. And I think the operational focus area most notably there is just the CD operation that is now receiving this additional feed source the higher-grade current risings from those mine after they recommissioned a run-up mine plant at those mine. So, we look forward to the contribution of that during the year. I'm going to hand over to Lewanne just now to take us through the financial results and then I'll talk a bit more about the other projects.
Lewanne Carminati : Thanks, Jaco. I'm just going to briefly go through the financial results for the half year ended 31 December, 2024. We're pleased with the production performance resulting in the dumps generating $47.6 million net revenue for the six months against $40.8 million in the corresponding prior period. This is a 17% improvement and as a result of the increased production, as well as the higher basket price. Our cost of sales increased 18%. This includes direct and indirect operating costs, as well as corporate allocations and non-cash expenses. The direct costs are detailed in the next slide and account for the bulk of the increase. Our indirect operating costs decreased period on period, however, depreciation increased as a result of increased plant infrastructure namely the Lannex and Tweefontein, MF2 plants and the Lesedi ROM plant that came online during the reporting period. The company's royalty tax reduced due to increased CapEx resulting in a lower percentage payable. Other income includes scrap sales and other expenses is mainly the G&A expenses for the corporate SA office as well as the parent entity. Finance income includes interest received on funds invested as well as interest on loans receivable and the corporate tax rate remained unchanged at 27% of taxable profits generated in South Africa. As I mentioned on the previous slide, the increase in revenue was as a result of the increased production and higher metal prices compared to the first half of the financial year 2024 with prices contributing $5.7 million and ounces, an additional $1 million revenue. If we look at the costs, table at the bottom right of the slide shows a breakdown of direct operating costs for the reporting period both in rent and U.S. dollars. The largest cost remain labor, power, and consumables as well as the cost of acquiring third party material for our Eastern operations, and that commenced in the latter part of the prior year. The SDO cash cost per ounce is estimated at $810 per ounce for the full financial year and that's translating the at an average exchange rate for the second half of the year of ZAR18.30 to the dollar and the first six months was an actual of ZAR17.94. As I mentioned, the acquisition of the third-party material to extend the life of the operations does come at an increased cost, and this impacts the direct operating costs by about 8% to 10%. The current contract for that third-party material is until June 30, but we are in discussions to potentially extend this contract further extending the life of some of the operations in the East. So, we've estimated our cost per ounce or cash cost per ounce for 2026 and 2027, and that does not include the third-party material. So, despite the increasing costs for the year, we are very pleased that Sylvania remains in the lower percentile of the industry cost curve, and this is inclusive of our increase in capital spend on both the Thaba JV and the tailing stands. If we take a look at the EBITDA, we reported an EBITDA of $9.9 million for the six months to December 31, a 36% improvement on the corresponding prior year. The estimate for the full year is slightly above $20 million, and this is based on the company's internal consensus pricing for the second half of the year. We have run sensitivities on this consensus pricing, and we've also reduced the chrome price forecast to $220 per ton to which we also apply temp sensitivity as you can see in the graph. And as we've done in the past, we've included the Panmure Liberum and Nedbank price forecasts. The details of these individual prices can be found at the end of the presentation on Slide 39. The 2026 and 2027 EBITDA includes estimated attributable earnings from Thaba for both PGMs and Chrome as well as the increased current risings at the Lesedi plant. The group has continued to maintain a strong balance sheet for the period, even though the cash balance has reduced due to capital projects. One of the main reasons that the board retained surplus cash reserves was to be able to fund these larger-scale growth projects. So, the reduction in our cash is not unexpected. As and when we have further projects that materialize, we hope to be able to fund any cash portions of these projects with existing funds. During the period, the group generated $11.5 million from operations and spent $17.7 million on capital, and this includes $10 million attributable to our capital. We also received a refund on provisional taxes paid, and paid out $3.3 million in dividends in December, which was the final 1p dividend declared for the 2024 financial year. The capital for the second half of the financial year is estimated at about $25 million, and together with the $17 million already spent, the total for the year will be slightly lower than the $46 million previously communicated. The largest spend remains our Tailings Dams, the central filtration plant, as well as the Thaba JV. For the 2027 financial year, the largest capital spend is currently forecast on the Tailings Dams. So, in an environment where prudent use of cash is key, we are pleased that the Board has declared an interim dividend of 0.75 pence per ordinary share. This dividend, coupled with the recent share buyback in which the company has acquired $1.7 million shares in the market to date, is a return of $3.3 million to shareholders for the financial year so far. The capital allocation split between dividends, share buybacks, and growth in strategic projects is carefully considered on a regular basis to ensure that we are returning value to shareholders, but also building a sustainable business. We'll continue to priorities these stakeholder needs and meet these as best we can. And back to Jaco now to have a look at the growth opportunities and projects.
Jaco Prinsloo: Thank you, Lewanne, and now to discuss the performance over the past period, I think it's good as well to look forward to our growth projects. And on this, thank you for some of our most strategic projects. I think first up is, and the most significant of our growth projects at the moment, and the next to come into production, is our Thaba JV, which is a collaboration of our partners at Limberg Chrome Mine. And this project represents a significant and exciting diversification in terms of our commodity profile, and in the sense that it now adds a significant chromite revenue stream to the business, as I've mentioned earlier. And this JV also combined the proven expertise in PGM recovery of Sylvania with our JV partners' extensive experience in chrome operations, particularly in fine chrome beneficiation, which poised to deliver low-cost chrome and PGM concentrates, leveraging the strength of both companies. So, in terms of project execution and operational readiness on the Thaba project, I'm pleased that everything is, the project is currently on schedule with all phases progressing well. And we are still expecting first production from April to May 2025. If we just look at what the project means to the bottom line of Sylvania. So, it's -- as I mentioned earlier, it's a 50% JV partnership. So, the Thaba JV project at steady state will contribute about 6,800 ounces of PGMs attributable to Sylvania, as well as 210,000 tons per annum of, current product. And, if you look at the current prices at these states, it will be a nine about a 9% increase on our PGM ounce profile. And at the total cash cost for the combined PGM and chrome production of about $25 million per annum, the project delivers gross margins of about 30% to 40%. So, I think it's, quite attractive in the sense that it adds between $8 million and $10 million of attributable EBITDA to the group, at steady state and depending on the price forecast. I think also just worth noting on the left bottom is showing how the chrome and PGM revenues are contributing towards the project and the current revenue at the current price forecast, say between $200 million and $220 million a ton CIF, you would contribute between 65% and 72% of the total revenue. But overall, I think a very exciting project that is, going to add significant value to the group. Then in terms, and so I just included some photos of the recent site visits we had with analysts in in January, and I think to give you an idea of the size and complexity of the site. And, as I said, we're very proud of the progress and the standard of work, and our project construction teams are really doing a great job out there. If we just turn our attention a little bit to the exploration projects, I'm not going to discuss in detail. We have previously announced the results of the scoping study when it was released in August at our previous reporting period. But what we have been trying to do and the work we've been busy with over the last period, was just to see how do we optimize the value from the scoping study and in particular, to look at potential to upgrade the run of mine fee grades through all sorting as well as PGM recovery and concentrate quality initiatives, so that we can see if we can improve the project returns at lower CapEx. And then we're also looking or continuing for our regulatory authorization applications and both our environmental impact assessment as well as the water use license applications have been submitted. And we are awaiting feedback during these next, six months. In terms of our Aurora and the Hacra projects. At Aurora, again, we have indicated before that we have released a mineral resource estimate that only about 12% of our resource, so strike length of about 2.5 to 3 kilometers, while we have overall strike length on the project, which we hold the license of about 14 kilometers. So, our study work during this past six months was focused on proving up and understanding the continuity of the resource across the entire strike length. And to this end, we've conducted some geophysical, surveys that we have just concluded towards the end of this period, as well as methodological test work that's being commissioned. And the outcome from these studies will then guide us in terms of the strategy to unlock further value from the project. And there'll be either further exploration requirement or just optimization studies. We will evaluate then by the end of this financial year. In terms of Hacra, we are not doing any additional further studies or significant spend. We have identified before already that it is not a project that aligns with our growth and aspirations and risk profile, but we do believe it can offer significant value for third parties. And we are currently evaluating disposal options for the Hacra project. When we look at the nature of the project, and before I go into some of the other projects in our pipeline, I think I'm just again landing on this slide, and we see it in the Thaba revenues that I've just explained earlier. And in our current operations that you have this, the benefit of co-production, because the PGMs and chrome occur naturally in the same reefs on the Bushveld Complex. And in our case, the Middle Group and LG, Lower Group chrome seams that we are exploiting, as well as the UG2 reef that the primary producers are producing. And what this does, this co-existence often enables the exploitation of either the PGMs or chrome that otherwise would be uneconomical, if only one of the metals would be targeted. So, in terms of our dump opportunities, or lower-grade dump sources, this makes it an attractive approach. And I think you can also see on this graph, it's really the case that both PGMs and chrome are on a down cycle at the same time. And therefore, it offers you quite an attractive diversification, revenue diversification. Just briefly, some of the growth projects, and I'm just going to touch on the ones that we have not already talked about. I think on our existing SDO operations, Lewanne already mentioned that we would look at potentially extending the third party or purchase and treatment agreements on the eastern operations. And that gives us both opportunity to optimize profits, as well as extend operational life, because for every 12 months or 18 months that you treat, we treat additional higher-grade third-party material, we also extend the life of those operations at the end of the cycle. And then in terms of the external chrome and tailings opportunities, similar to the Thaba JV that is currently in execution, we are busy currently with a feasibility study on a new treatment facility for our eastern operations. And we hope to conclude that by around June this year. And so, to see what the investment case would look like, and if we could, it's worth pursuing that. If we look at a dump only treatment option, we could potentially add another 5,000 to 6,000 ounces attributable to Sylvania per annum, and on dump only probably between 15,000 or 20,000 tons of chrome. But what it does do is a dump facility on the Eastern Limb would also give you an anchor to enable ROM treatment from some of the neighbouring operations. Finally, looking at external growth or diversification, and that is diversification in terms of alternative metals or jurisdictions. We are also considering options continuously where we can leverage or replicate our proven operating model and successful track record or the technologies that we're currently employing. So, from a flotation point of view, like our PGM flotation, you could replicate that in your base metals, copper, nickel, cobalt, or even lithium in certain deposits. And from a gravity point of view, what we do for chrome can be replicated again in manganese, tin, tungsten, tantalum, and your heavy metals. So, we're certainly looking at a number of opportunities where we can replicate and grow. And we are doing some new diligences at the moment, and hopefully also in the next six months or so can shed some further light in that regard. I think if you're just considering the opportunities on the one side, I think it's important to just turn an eye to the markets. And we have mentioned earlier that we have seen a 6% increase on the average, four e-basket price over the period. So, and that is, encouraging, because if you could see on the top right-hand graph where the, 4E basket prices that it had been, low and fairly flat for quite some time. So, it's encouraging to see that we are about 60% up period on period. It is also, interesting when we look at the markets more important to note and take note of our particular prospect for Sylvania. We have about 12% rhodium, now probably about 23%, palladium. And those two together contribute to almost half of our revenue. So, obviously how those prices react is going to impact on how we perform. And when we talk about how these prices and the, the four-week process impact on our business or the industry as a whole, I've just included a slide here on the latest BGM industry cost curve that we have sourced from [Indiscernible], corporate investment banking, which indicate that on their price assumptions and the latest data that about how the industry are loss making on a cash cost plus CapEx basis. And that just indicate to us that it's not as sustainable for the prices to stay this low, and we do expect that supply might come under pressure, in during this next year. I think if we look at, talking about the supply in particular and why I say I think it will come under pressure, whilst we have not seen significant drop in guidance from any other major producers yet, we know that there's already been significant job cuts during the past year. And from the Minerals Council of South Africa data for Q1 quarter one to three of last year, there's already 14,000 over 14,200 jobs that have been lost in the PGM sector alone. And that combined with significant CapEx in expansion project growth project capital. And as illustrated in that graph at the bottom, the solid blue line indicate a year ago what the expectation was for growth projects, what companies announced. And that's been updated this January with the lighter blue bars. And this you can see more than half the growth projects have been taking out in the market in an attempt to preserve cash under the current price environment. So, although we might not see an immediate reduction in the ounces, the combination of this certainly have to pose a risk in terms of supply for the near to medium term. On the demand side fortunately, the narrative has changed in the last six to eight months and is a more positive outlook for us. I think everybody is realizing that -- and seeing the performance figures of pure battery electric vehicles not growing and forecasting to grow at the same rates as was previously forecasted, which would have taken quite a big market share of reduction in auto [Indiscernible] in the industry. But with the growing popularity and also growth in hybrid electric vehicles that still uses auto catalysts and still consume, the PGMs, the outlook is now looking a lot better. And we believe that the demand for palladium and rhodium should be stronger for longer and which is good for the overall industry. I think, taking both the supply and demand into account, it's not surprising that the most analysts are forecasting platinum and rhodium to be in deficit for 2025 and the near term. And that's why we believe we have a very robust outlook on the PGM market and do believe that we should see an improvement in price in the coming year. Yeah, we've just included for you the particular commodity price forecasts for the individual elements that we have used in the sensitivities earlier in the presentation. And this is just for reference. It's also, as you mentioned earlier, the appendix at the back if you want to look at the specific assumptions. Finally, just touching a bit on the chrome market, especially with our interest and exposure to what's chrome at Thaba from later in this year. Unfortunately, it's a bit more difficult to get chrome data than PGMs. But I think, yes, there's a few points to give you a bit of a feel and understanding for the supply and demand of chrome. I think, firstly, from a demand perspective, the biggest consumer for chrome is stainless steel. It's a stainless-steel industry, a consumer with more than 80% of global ferrochrome production. And I think what's positive is that stainless steel has been growing at between 5% and 6% per annum. The '24 figure has not been formally announced, but is estimated between 5.5% and 6% growth for 2024. From a supply point of view, South Africa is home to the bulk of the global chrome resources and produces about 61% of the global chrome ore production, so a significant producer. And indications are that the production has been growing at about 6% year-on-year during 2024. Again, we only have a quarter one to three data at the moment, but that indicates that the growth of supply is in line with stainless steel, so it seems quite balanced. But then there's also worth noting that 19% of the chrome production is from UG2 sources by PGM miners, which could come under pressure if the low PGM prices persist. And that again supports higher chrome prices. So, I think overall, we again maintain a robust outlook on the chrome market as well. There was quite a drop-off towards the end of last year in the chrome ore prices, but that was primarily driven by the new Chinese smelters that have been commissioned during the year and that have been producing higher volumes of ferrochrome than the demand at the time, which increased stocks and therefore driven down ferrochrome and chrome ore prices. So, we still maintain a positive view. Just to maybe take us through some of our ESG highlights, I'm going to hand back to Lewanne, and then I'll wrap up with a presentation.
Lewanne Carminati : Thanks, Jaco. As we all know, sustainability is core to the success of Sylvania, and it underpins our company values. We strive to operate responsibly by minimizing the impact that we have on the environment, encouraging a diverse and inclusive workforce, and driving positive change in the communities which we operate. Over the last six months, the operations have made significant progress in improving water consumption from the prior year, which has reduced by half, and enhanced data and monitoring has also assisted in optimizing water reuse. Our revegetation project is entering its third phase, and the results continue to exceed our expectations and is going to significantly reduce our rehabilitation costs. The group also remains fatality-free since the first plant was commissioned first plant commenced operation in financial year 2007. And with our numerous safety campaigns and hands on a profile management, reinforce this reinforces our safety, that safety is a top priority on a daily basis. Discrimination and violence also has no place at Sylvania. And in support of this, our annual anti-gender-based violence campaign was run over November and December. We've also continued our positive trend on, increasing the female percentage of employees, which is currently at 28.19% against the mineral councils last reported 20.3% for the industry. Good governance is also a non-negotiable for the board and management and we will continue to provide investors and the market with clear and transparent reporting, invest in the communities and the economies of the countries we operate, and comply with the relevant laws and regulations. We do look forward to updating the market on the progress of our current and some new exciting projects in September when we release our annual results. Thanks.
Jaco Prinsloo: Thank you, Lewanne. I think maybe just in in closing for me, I think that as I said earlier, I'm very happy with the results, and I think that our shareholders would agree that Sylvania remains an attractive low cost, low risk cash generative business. And I believe that we have developed, as we have also demonstrated through this presentation, that we have a strong credit record of performance and that we deliver significant value to our shareholders through a combination of stable dividends as well as significant buybacks over the years. And I think while we have material expansion and CapEx projects planned for this year and the next as we have shared with you, we will continue to prioritize capital returns to our shareholders alongside our value creation and business sustaining requirements. So, thank you for your support, and, we will look at some questions now if they are.
Operator: Perfect. If I may just jump back in there. Thank you very much indeed for your presentation this afternoon. What I'll do is bring back up your cameras there for the Q&A. [Operator Instructions]. I just like to remind you that a recording of this presentation along with a copy of the slides and the published Q&A can all be accessed via your investor dashboard. Jaco as you can see there, we have received a number of questions, and thank you to all of those on the call for taking the time to submit their questions. But, guys, at this point, if I may just hand back to you just to read out those questions and give your responses where it's appropriate to do so. And if I pick up from you at the end, that'd be great. Thank you.
Jaco Prinsloo: Jake, sorry. I'm just having trouble accessing the questions on my on my screen. So, I am not --
Operator: Yeah, because just on the right-hand side, you might see a small blue button that says chat.
Jaco Prinsloo: Okay. Yeah. Now I've done Okay. Everything's still good. Okay. I think this question says, it looks like electric vehicles don't work. No real surprise, and there will be movement to hybrids. Do you see that there's a big driver to pick up PGMs again as the whole sector down for so long? I think that, what I've discussed in that supply-demand figure is that we do believe that EVs, I don't want to say have been oversold, but certainly the initial growth rate as was expected, was significantly higher than what we are now seeing. And I think with the introduction of hybrid vehicles, there certainly now is a lot more support for PGM still, and that's why we believe that will be a stronger demand. And it should pick up the market based on the supply-demand fundamentals we have discussed. I think then there's a question to say, can you give some color on the criteria you use to repurchase shares, and will that be affected by the completion of Thaba JV project? Look, I think we continuously evaluate, as Lewanne mentioned in the presentation. The combination of how we turn value to shareholders, both through repurchasing of shares or of a dividend, and then also looking at what attractive growth opportunities are on track. I think we have previously already said with the expansion of Thaba that we have from our cash balance allocated some and dedicated some capital in previous years specifically for that. So, on an ongoing basis, we obviously look at what the remaining available capital is, and we would maintain a balance between dividends and share buybacks when, depending on where the best returns would be. I'm trying to slick away at some of the next questions. It says, what is your ability to increase iridium production? And it seems a significant increase in demand coming from hydrogen fuel cells. Who are your main competitors and where are these located? So, I think just we do have iridium and ruthenium in our basket as well, and I think if we -- when I spoke about the 4E production, while we have about 59,000 ounces 4E in this period, we had -- what was that, about 50? I just want to get the value here. We had about 50,000, almost 51,000 ounces 6E. So, the balance is that iridium and ruthenium in. And as you -- we also had it on that slide on the supply and demand. Under demand, under platinum, yes, iridium and ruthenium certainly is attractive in terms of the green energy transition, as well as the hydrogen economy. And that would give us attractive exposure in our market. I think from a revenue point of view, we're already getting -- it is already a significant contributor towards our sales. And I, again, just want to see that iridium...
Lewanne Carminati : 11%.
Jaco Prinsloo: yes, between 11% and 15% of our 6E contribution is already from iridium. And ruthenium a little bit lower, say about 4%. So, that do add to our basket and it certainly would have future upside if those prices improve. Then there was another question that says, will there is a rush on to secure critical elements worldwide? Sylvania should benefit, forgive by product ignorance. With the chromite production, do you produce any tellurium or indium, molybdenum, tungsten, if that ever occurs? Unfortunately, those is not certainly not at significant quantities in our ore. So, it's not part of that. As I said, we do have -- as part of our basket, the 6E is the platinum, palladium, rhodium, iridium and ruthenium. Then the base metals, primarily copper and nickel, a little bit of gold, and then obviously chrome as the by-product in the ore. And those are areas where we believe we can benefit from. Then there's another question that says, what is your view on the new low-cost Ivanhoe supply coming online in the near future? Is this going to impact PGM prices significantly in your view? Also, what do you think about the new expiration without compensation bill in South Africa, and is that material risk for your operations? So, I think if we first talk about Ivanhoe, that would bring a significant production into the future. I think it is still a couple of years out. I think the initial Phase 1 have been postponed or delayed by about a year, and they're looking to bring Phase 2 on. But you have to look at that in conjunction with the large amount of PGM ounces at the moment that are loss-making at the current prices. So, you have to take a view on how much of that supply would be around in, say three to five years' time when you have Ivanhoe coming online. As well as we, I've illustrated on that supply demand, outlook slide how there's a significant amount of other capital projects being taken out of the market. So, I think the consensus is, and that's reflected in the deficits that's forecasted by analysts in the graph I presented, that they believe overall there will be a -- the supply would be under pressure. In terms of the expropriation of North Africa, I think there's quite a bit of it in that in the media that is currently still being contested by the, some of the other political parties as part of the government of national unity. But what we believe on the current protection in our laws and in our constitution that investments, should still be safe and protected. And as I said, there is still a process to be followed, but we don't have a major concern about that, in the immediate term. I think there's another question that says with the company, will the company keep the dividend foreseeable at the current levels? Now I think, we have mentioned that we certainly are committed to maintain a stable dividend. I think our commitment both towards the end of last year and also at this interim dividend where the dividends we have declared is in excess of the minimum requirement as stipulated by our dividend policy. So, I think that illustrates our commitment from the company to maintain a stable dividend going forward. We do have to obviously evaluate our, capital allocation needs during each financial year and obviously consider what the metal pricing does when we calculate our free cash flows. But I think what is positive is that we have a dividend policy that gives investors a guideline of the what the minimum is that we would pay out. And as I said, we have, demonstrated in the past that we are even willing to pay out in excess of that minimum if we are in a position to do so and able to return value to shareholders. Then there's another presubmitted question that says, with the stock trading at such a heavy discount to intrinsic value, paying a dividend carries such a high opportunity cost relative to the accretive value of shareholders of using all surplus capital to reduce the share count. If exiting shareholders wish to sell at a heavy discount, use that to the advantage of loyal shareholders who remain please comment. Look, I think it ties into the previous responses we had. We say, we have investors and institutions invested in us from an income perspective who are investing in the company because it's an attractive dividend yield and income. And then there are growth investors who are more focused on and targeting a growth in the share price to which share buybacks might assist. So, we try to balance both the needs of the various investors we have. We try to also look at where the best value is for us at any point. And as I said, to balance that against our other capital allocation needs. So, we will continue to maintain that balance going forward. And I think we've -- as I said, demonstrated our commitment to return good value to shareholders. So, it's just in which way it is best done. Then I think there's one last question that I will read. And that says, you say the capital allocation options are carefully considered, but you pay dividends all the time, even when the share price is trading at huge discounts to intrinsic value. And on an opportunity cost basis, how can you justify that surely 100% of the capital should be channeled back to it? Now, again, it sounds like I'm echoing the same arguments all the time. But I think, and Lewanne illustrated it in the chair on the shareholder returns, I think it's probably not accurate to say we're paying dividends all the time and not buying buybacks. I think we have paid about $108 million of dividends to shareholders since 2018. We bought back 65.3 million shares over that same period, of which we cancelled 26 million shares. So, I think we do have a good balance of returning value to shareholders, both through buybacks and also dividends. I think what people sometimes forget when we look at some of the low points in the share price is once we have an instruction -- issued an instruction for a share buyback, and we're in a closed period and that price fall or change, we are not in a position to then alter our instruction. We have to wait until we get out of a closed period. And by that time, normally, the share price have moved again. So again, as I said, we have a very careful and diligent consideration when we decide on dividends versus share buybacks. Thank you. I think that was the last of the questions, to be fair, Jake.
Operator: Absolutely, Jaco, Lewanne, that's great. Thank you very much indeed for being so generous of your time and addressing all of those questions that came in. But Jaco, perhaps before really just looking to redirect those on the call to provide you with their feedback, which I know is particularly important to yourself and the company. If I could please just ask you for a few closing comments to wrap up with, that'd be great.
Jaco Prinsloo: Thank you, Jake. And yeah, in conclusion, I've said a few times in the presentation, I'm very pleased with our performance during the current period. And I'm also very excited about the future of our growth prospects, especially around the Thaba JV that's bound to come in line and also the developments around the Lesedi current risings that I've discussed earlier. I believe those would add significant value to us going forward. And I also believe that as we have demonstrated through this obvious result that we have established ourselves over the years as an attractive, reputable and stable company that is returning significant value to shareholders. And as I just said in my last comments, that we would aim to continue to do that. And, both to establish ourselves as an investment of choice for shareholders, but also as a partner of choice in the industry to enable and to get access to other growth opportunities. So, I just want to also introduce the opportunity to thank all the shareholders, for their trust and support in management and in the company. And we look forward to continuing this journey with you. Thank you very much.
Operator: Perfect. Jaco, that's great. And thank you once again for updating investors this afternoon. Could I please ask investors not to close this session? You'll now be automatically redirected for the opportunity to provide your feedback in order the management team can really better understand your views and expectations. This will only take a few moments to complete, but I'm sure it'll be greatly valued by the company. On behalf of management team of Sylvania Platinum Limited, we would like to thank you for attending today's presentation. That now concludes today's session, so good afternoon.